Operator: CN's Third Quarter 2017 Financial Results Conference Call will begin momentarily. I would like to remind you that today's remarks contain forward-looking statements within the meaning of applicable securities laws. Such statements are based on assumptions that may not materialize and are subject to risks described in CN's third quarter 2017 financial results press release and analyst presentation documents that can be found on CN's website. As such, actual results could differ materially. Reconciliations for any non-GAAP measures are also posted on CN's website at www.cn.ca. Please stand by. Your call will begin shortly. To all participants, thanks for standing by. The conference is ready to begin. Welcome to CN's Third Quarter 2017 Financial Results Conference Call. I will now turn the meeting over to Paul Butcher, Vice President, Investor Relations. Ladies and gentlemen, Mr. Butcher.
Paul A. N. Butcher - Canadian National Railway Co.: Thank you, John. Good afternoon, everyone, and thank you for joining us for CN's third quarter 2017 earnings call. I would like to remind you about the comments already made regarding forward-looking statements. With me today is Luc Jobin, our President and Chief Executive Officer; Mike Cory, our Executive Vice President and Chief Operating Officer; JJ Ruest, our Executive Vice President and Chief Marketing Officer; and Ghislain Houle, our Executive Vice President and Chief Financial Officer. In order to be fair to all participants, I would ask you to please limit yourselves to one question. I will be available after the call for any follow-up questions. It is now my pleasure to turn the call over to CN's President and Chief Executive Officer, Mr. Luc Jobin.
Luc Jobin - Canadian National Railway Co.: Thanks very much, Paul, and welcome, everyone, to our third quarter 2017 earnings call. Well, we had a very strong quarter, and needless to say, I'm extremely proud of what the team at CN has accomplished. Make no mistake about it, very few organizations can deal with this scale and speed of change and demand patterns better than CN. As a reminder, through 2015 and 2016, we experienced six consecutive quarters of declining volume, which finally turned positive in the fourth quarter of last year. Starting 2017, we were optimistic, armed with a good value proposition in our markets, and prepared for what looked like moderate growth on the basis of our customers' limited visibility. We quickly realized in the first quarter and into the second one that volume was picking up momentum, growing by double-digit RTMs. 2017 has evolved along the hockey stick shape recovery path for CN, arguably an enviable position to be in. This momentum was sustained through the third quarter with continued double-digit volume growth in RTMs. In fact, we achieved a record in terms of workload in the third quarter, exceeding the previous peak dating back to 2014. Let me give you a few examples of what kind of RTM growth we've been seeing. Year-to-date when compared to 2016, frac sand RTMs were up over 100%, coal was increased by 41%, automotive is up 18%, and intermodal increased by 11%. To deliver this kind of volume growth, while maintaining service levels consistent with comparable workload, and cloaking in a sub 55% OR is truly remarkable. Here are some of the highlights, which the team will expand on in a few minutes. JJ will give you a full view of our markets for the third quarter, but in essence we have witnessed strong growth across a broad range of business segments, including frac sand, intermodal, coal and Canadian grain. This translated into 10% growth in RTMs versus 2016, and we've maintained as well our inflation plus pricing approach. He will give you some insights in terms of how we continue to work hand-in-hand with our customers to best meet their evolving needs, and give you some color on our market outlook. On the operations front, Mike will explain how the team has swiftly stepped up our resource plans throughout the year and across people, equipment, and infrastructure to deal with the surge in demand. He will highlight how we continued to make thoughtful decisions across operating dimensions to enhance network resilience, maintain service, and manage costs through efficiency gains. Mike will illustrate how working closely with our supply chain partners, including port terminals and customers is really key, as they themselves are facing challenges in coping with the increased demand. He will give you a sense as to how we are increasing our 2017 capital envelope with targeted investments to improve resiliency and position ourselves for future growth opportunities in 2018 and beyond. Turning to our financials, we are again coming in with strong results for the third quarter. We maintained discipline and continued to strike a balance between leveraging operating flexibility to accommodate high volume growth while being mindful of service levels. This paves the way for further opportunities to invest in service and efficiency gains as we look forward. This remains a cornerstone to realizing sustainable value creation and to deliver superior results while positioning CN for the future. Our adjusted diluted EPS in the quarter grew to CAD 1.31, that's an increase of 5% versus last year. We also generated strong free cash flow of CAD 2.3 billion year-to-date in 2017. Ghislain will give you more details, and actually will update our financial outlook for the year. All right so now let me turn it over to Mike and the team for their comments and details on the quarter. Mike over to you.
Michael A. Cory - Canadian National Railway Co.: Thank you very much, Luc. The third quarter saw continuation of the growth story in relation to workload volumes with GTMs up 12% versus Q3 last year. Every quarter this year we've exceeded the previous record for GTMs handled in that quarter. This quarter, as Luc mentioned earlier, beat a previous overall record in Q3 2014. Now as I have stated, 2016 has not been a good comparable for workload or our current operating performance. I've been using a 2015 quarterly comparison. However, using that comparison against Q3 2017, our workload is actually 7% higher, and this measure represents growth over our entire network. When you look at the 7% difference in workload, it's certainly not spread evenly across the network. For example, workload was 14% higher over our Edmonton to Chicago corridor and 11% higher over our British Columbia territory. Coupled with the fairly dramatic increase was a heavier than normal work block season. This included an intensive PTC installation plan across our Midwest division. That's our line that runs through Minnesota and Wisconsin to Chicago. As well, we had large work blocks in Western Canada. We responded to the increased traffic with our continued approach to productivity. Train load was up 8% from 2015, and in some parts of our network up as much as 20%. This growth was relatively rapid, and in some respects not visible in line with the timing needed to create additional capacity. With the rapid growth and its concentration, we did see velocity metrics drop compared to both 2016 and 2015 but, in typical CN fashion, we are responding to the challenge. Operating crews have proven to be our biggest challenge, which is not surprising based on the concentration of the workload increase. As we commenced calling back laid-off employees, we found the rate of return was less than predicted and not sufficient to handle the workload increase. This is generally due to the length of the layoff and strong economic and job markets in the areas of need. As a result, we've stepped up our hiring of personnel as we saw the volume increase at a faster pace than was earlier visible. We've ramped up our hiring and training plan and are in the process of fulfilling the employee demand. We have over 250 people being qualified in Q4 and another 400 that will be ready in Q1. Along with operating employee replenishment, we're actively training other crafts in line with our demand and volume growth potential. On the locomotive front, we are receiving the 22 new AC locomotives that we ordered earlier in Q1 this year. The balance will be received by the end of the month. We are in the process of injecting 100 locomotives into our active fleet that were long-term storage. This includes 50 overhauls that have been advanced to this year's locomotive plan. If need be, we will look at other options to increase our fleet should it be necessary, both in the short and long-term. On the network side, we continue to invest for the immediate period and long-term future. For example, investments were made in Toronto in order to handle the record intermodal volume at our Brampton Intermodal Terminal. To address the short-term situation, we opened up a dormant subsidiary yard and added track and crane capacity both there and at our Brampton Intermodal facility. On our Wisconsin territory, work has begun on new bypass tracks in Fond du Lac. This will expedite trains through this pinch point on our Chicago to Winnipeg corridor. To handle the large increase in frac sand, we've commenced expansion work on our Blair yard as well as commenced the building of a siding in our Stevens Point to Chicago corridor. In Western Canada, we've commenced work in our Edmonton to Jasper corridor, where the frac sand and intermodal increase has resulted in less resiliency than we find optimal. Along with these more immediate improvements, work has begun to start projects earmarked for 2018 to allow for a quick startup after winter. Ghislain will speak further to our increase in capital this year. We fully believe that this capital injection, as well as a strong hiring and training program will return us to operating metrics more in line with the capability of this operating team, which I'm extremely proud of. Along with these and immediate capital improvements, we've continued to work closely with our supply chain partners to ensure their needs are met. For instance, we are working collectively with our partners through the West Coast port expansion by sharing assets, stepping up communication and visibility and creating more flexibility through our service offering. Our aim is to continue to support the supply chains we are in through this tough period of volume growth. Overall, the team once again delivered extremely solid results in a world of record Q3 volume. And we stand ready to support continued profitable growth. So with that over to you, JJ.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you, Mike, and thank you Luc. So first off, we're very proud of our team results. We are in very strong growth in 2017. Our revenue ton mile up 14% year-to-date, and approximately CAD 1 billion FX adjusted incremental top line revenue so far. As you heard from Mike, we have a solid plan to address future demand. So going back to last quarter, revenue was up CAD 207 million or 7% above last year, or 9% at constant currency. Year-to-date, we are 11% above last year. CN's AAR carloads were up 11% versus the industry average of 3%. The mix of our growth was overweight to bulky train type business, long-haul international containers and shippers supplied equipment. Also very important to us is the source of our revenue growth remained very diversified with a couple of homeruns on international intermodal, frac sand unit train, coal and petroleum coke export unit train. We also had some very solid base hits with automotive, especially the imports, and with Canadian grain and potash long and heavy unit train. We also generated same-store price above the rail inflation at 2.3% for the quarter and 2.3% for year-to-date. I will now provide some colors on the major valiance of the last quarter. Frac sand carloads were up a solid 130%. On the international container, Vancouver volume was up 29%. Prince Rupert volume was up 36%. Our joint marketing plan with DP World produced above our own expectation, and as a terminal on dock rail construction was still ongoing, Rupert got congested and COSCO agreed to divert one vessel. On the east coast, the Port of Montréal and the Port of Halifax rail volume were up when combined 13%. Potash carloads were up 11%. Potash export via the East Coast port of Saint John remained solid. Year-to-date, we exceeded 1 million ton of West Coast diversion towards the East, mostly heading eventually to Brazil. Canadian grain carloads were flat to last year, but revenue was up about 5%. Coal revenue grew by 23% because of the strong export business mix. Our volume for lumber, plastic pellets were down. The strong Canadian dollars created a CAD 75 million negative headwind on our reported revenue while our fuel surcharge program was a CAD 32 million positive tailwind on reported revenue. Now looking forward to the progress of our commercial agenda. As mentioned earlier, we are adding network capacity to better serve specific segment, for which we have good demand visibility, the very segment that we featured in our last June Investor Day. On the West Coast, ocean (13:29) terminal partners are also in the process of completing capacity addition. The DP World trans-Rupert on-dock rail construction will be completed at the end of this month, and no more ship diversion are required. We are back. Deltaport also continued to add its own on dock rail capability but it will need a few more months. On the bulk side, we foresee export of Canadian coal, Canadian grain and pet coke to be nicely positive while U.S. coal and U.S. grain will be down from last year. For crude, and it is by choice, we will take a bit of a growth pause and we will look for a more attractive entry point for this spot market when we have built up incremental capacity. For merchandise, the business will be slightly up except frac sand which will continue to be exceptional. In intermodal, we are completing, at the end of this year, the 15% terminal capacity expansion in Ontario, that is 15% more capacity than the end of last spring, to be able to grow our domestic intermodal business. The international business will continue to grow. The last quarter we produced an exceptional 20% volume, outpacing any comparable that we might use. For the next quarter, our reported revenue will continue to be negatively affected by the strong headwind from exchange and we will get a little bit of tailwind help from the higher fuel surcharge program. To wrap this up in conclusion, as we head into Q4, we have good demand visibility and we expect volume and RTM to be up over last year and last year was a strong comparable. We are committed to provide superior service to our customers in order to produce superior organic growth for our long-term shareholders. We are training new employees, injecting new capacity and we will generate growth opportunity. I'm going to pass it on to Ghislain.
Ghislain Houle - Canadian National Railway Co.: Thanks, J.J. Starting on page 12 of the presentation, I will summarize the key financial highlights of our solid third quarter performance. As J.J. previously pointed out, revenues for the quarter were up 7% versus last year at slightly over CAD 3.2 billion. Fuel lag on a year-over-year basis represented a revenue headwind of around CAD 15 million or CAD 0.01 of EPS, mostly driven by an unfavorable lag in this quarter. Operating income was CAD 1.459 billion, up CAD 52 million or 4% versus last year. Our operating ratio came in at 54.7% or 140 basis points higher than last year. Higher fuel prices had a 40-basis-point impact on the increase this quarter. Net income stood at CAD 958 million or 1% lower than last year with reported diluted earnings per share of CAD 1.27. Adjusted earnings per share was up 5% to CAD 1.31 from a year earlier EPS of CAD 1.25, excluding the impact on deferred income tax expense from the enactment of a higher state corporate income tax rate this quarter. Recall that last year in the third quarter, we highlighted a recalibration of our effective tax rate that created a favorable impact of approximately CAD 0.03 of EPS. The impact of foreign currency was CAD 22 million unfavorable on net income or CAD 0.03 of EPS in the quarter. Turning to expenses on page 13, we continue to tightly manage costs in a high volume growth environment. Our operating expenses were up 10% versus last year at CAD 1.762 billion, mostly driven by stronger volumes. Expressed on a constant currency basis, this represents a 12% increase. At this point, I will refer to the variances in constant currency. Labor and fringe benefit expenses were CAD 525 million or 8% higher than last year, as increased wages and incentive compensation expenses were partly offset by higher capital credits and lower pension expense. On a full year basis, we now expect pension expense to be around CAD 25 million lower than last year. Purchased services and material expenses were CAD 424 million or 14% higher than last year. This was mostly the result of higher outsourced services and trucking and transload expenses mostly driven by higher volumes. Fuel expense stood at CAD 312 million or 24% higher than last year. Higher volumes accounted for a CAD 27 million increase and higher fuel prices was an unfavorable variance of CAD 24 million versus 2016. Fuel productivity was unfavorable by 1.4% in the quarter versus last year, mostly due to mix and lower velocity. Depreciation stood at CAD 316 million or 3% higher than last year, mostly as a result of net asset additions. Equipment rents were up 21% versus last year driven by increased cars hired. Casualty and other costs were CAD 78 million which was CAD 13 million higher than last year, mostly driven by a 2016 one-time favorable CP legal settlement, partly offset by higher provisions for bad debt due to the Hanjin bankruptcy in September 2016. For the fourth quarter, we would expect to be in the CAD 100 million range for casualty and other. Moving to cash on page 14. We generated free cash flow of CAD 2.321 billion through the end of September. This is CAD 578 million higher than in 2016 and mostly the result of higher net income, lower capital expenditures due to timing and lower cash taxes. Finally, our 2017 financial outlook on page 15. We achieved solid volumes in the first nine months of the year, reflecting strong performance across most segments. We continue to see favorable economic trends in both Canada and in the U.S. Consumer confidence remains positive while the ongoing energy sector recovery is driving shipments of frac sand, steel pipes and heavy crude. As J.J. mentioned, Prince Rupert dwell times are back to normal and we expect to continue to benefit from the port expansion. We expect volume growth in the fourth quarter to be more challenged as comparables with 2016 will be more difficult. We believe this environment should continue to translate into volume growth of approximately 10% in terms of RTMs for the full year versus 2016, with overall pricing remaining above inflation. Remember last year's RTM were up 4% in the fourth quarter versus negative RTMs for the first three quarters in 2016. So as J.J. said, expect some positive volume growth in the fourth quarter but at a more modest number. Frankly, at this point we did not change our annual RTM or volume growth guidance from 10% for the year, as we think going to a quarterly volume guidance would imply a false sense of precision. We continue to experience a strong Canadian dollar versus the U.S. dollar and, assuming that the current spot rate of around CAD 0.80, this will remain a headwind on earnings going forward. As a reference, CAD 0.01 appreciation in the Canadian dollar versus the U.S. dollar results in an annual headwind on net income of approximately CAD 30 million or CAD 0.04 of EPS. We remain confident about achieving our guidance and continue to expect to deliver adjusted earnings per share in the range of CAD 4.95 to CAD 5.10 versus 2016 adjusted diluted EPS of CAD 4.59. On the capital front, we remain committed to reinvesting in our business to support safety, service and growth. Given the strong volume growth we have experienced this year and to continue to support future growth opportunities, we are increasing our capital envelope this year by CAD 100 million to approximately CAD 2.7 billion. We have good visibility and we consistently invest to ensure the company is well positioned for the long run. We still expect CapEx to be around 20% of revenues for the year. Furthermore, we continue to deliver sustainable value for our shareholders and reward them with consistent dividend and share buyback returns. We are completing our current CAD 2 billion share buyback program on October 29, and I am pleased to announce that our Board of Directors has just approved a new Normal Course Issuer Bid program for the repurchase of up to 31 million shares, and we have set aside approximately CAD 2 billion towards completing this over the next 12 months. In closing, we remain committed to our agenda and continue to manage the business to deliver sustainable value today and for the long term. On this note, back to you, Luc.
Luc Jobin - Canadian National Railway Co.: Thanks very much, Ghis. So let me sum it up. Our outlook remains positive for the remainder of the year. We'll be showing positive but lower comps as we lap in Q4 the beginning of our pivot to growing volumes last year. We're bullish on the North American economy where the environment remains very supportive and the prospects for export commodity is also positive, although as we've seen in the last couple of years, that can be a bit volatile at times. J.J. highlighted some of the future opportunities that we see, and described how we manage volatility of demand in our growth prospects while remaining focused on delivering superior service to our customers. Mike talked about how we are adjusting and optimizing our resources to meet the demands of our growing franchise and our commitment to safety, service and efficiency. This operating team is the best and most nimble in the business. We thrive in challenging circumstances. Ghislain reaffirmed our EPS guidance and outlined our resolve to deploy additional capital in support of both our short-term business needs and longer-term opportunities to profitably grow CN while delivering superior shareholder value. Our strong cash generation and solid balance sheet allow us to continue developing our unique three coast franchise while maintaining strong shareholder distributions with growing dividends, and once again, with a substantial share repurchase program just announced today. So we have a solid plan, a very strong leadership team and the best team of railroaders in the business, bar none, to execute against this plan. We remain confident in our ability to deliver for our customers and position CN for long-term value creation. This has been our strategy at CN since 2010. It's not a new religion, and we remain disciplined, set on sustainable long-term approach through the market cycles up and down. Thank you very much, and we'll turn the call over to you, John, to entertain some questions.
Operator: Thank you, sir. Our first question is from Walter Spracklin from RBC. Please go ahead.
Walter Spracklin - RBC Dominion Securities, Inc.: Thanks very much. Good afternoon, everyone.
Luc Jobin - Canadian National Railway Co.: Good afternoon, Walter.
Walter Spracklin - RBC Dominion Securities, Inc.: So I am going to just – my one question is going to focus on some of the comments Mike made with regards to employee ramp up. And, obviously, there's going to be some training involved. And, Luc, at your recent Investor Day you did kind of gave us a 10% annual EPS growth expectation for the next five years. My question is whether some of the capacity constraints that you had this quarter and the reaction here now with higher employees and a bigger CapEx envelope, combined with the work that will take up on your system, is that going to create any inefficiencies going into 2018 that might see us dip a little bit below your 10% bogey you gave us in terms of EPS growth going forward?
Luc Jobin - Canadian National Railway Co.: Right. Well, let me respond first, Walter, and then I'll give Mike an opportunity if he wants to chime in a little bit on the more specific aspects of the employee ramp up. So when we provided long-term EPS guidance, what we said was that we were looking at, we had the scope to do about 10% overall on average over the next five years. So this is, it's not necessarily implying that every year for the next five years it's going to be 10%. Having said that, I think you can see that we have some very good growth. We've been able to accommodate that growth with a sub 55% OR, and we do have an opportunity to lay out a little bit more capital to deal with it in a way that's going to give us, continue to give us, the service levels that we're looking for. And at the same time, that really is an opportunity. When we see the growth, we see the opportunity to deploy reasonable capital to achieve even higher efficiency levels. So now the road to growth is not a linear one. And so in this year, what you've seen is we've taken on board quite a chunk of business in one swoop. And we're going to be busy digesting that a little bit. But frankly, we're quickly going to be on our feet and prepared to absorb even more growth through 2018. So there's a little bit of short-term adjustment that's required. There's going to be an opportunity to deploy capital. If you look long term, our return on invested capital is actually quite attractive. So we have a track record of being able to balance this. And, of course, if you're trying to look at it on a quarter-to-quarter basis or even a year-to-year, it can be a little bit bumpy. But that's we look at the longer term, and we're confident that we can sustain the momentum that we've established over the last several years. Mike, do you want to comment a little bit in terms of ramping up the training?
Michael A. Cory - Canadian National Railway Co.: Yes. All I was going to say, Walter, is fluidity, resiliency and those are things that without the appropriate people, you can't have. Both of those really are key for us to drive our operating margin and leverage that. And you've seen that in the past. Back at the Analyst Day, I showed a slide effectively both capital and applying the resources where you need it. We know how to make money out of that. What we're doing now is really we're catching up in some areas where we got a little surprised by the return rate from people laid off. So it was a learning for us. And then with that we'll just do as we normally do. Bring these people into the fold and again, for us it's fluidity and resiliency, and capital and people are two important components of that.
Walter Spracklin - RBC Dominion Securities, Inc.: Okay. Thank you very much. Thanks.
Luc Jobin - Canadian National Railway Co.: Thanks, Walter.
Operator: Thank you. The next question is from Ravi Shanker from Morgan Stanley. Please go ahead.
Ravi Shanker - Morgan Stanley & Co. LLC: Thanks. Good afternoon everyone. Just want to clarify on the guidance. I think on the last call you had said that you could achieve the high end of your EPS guidance range if FX stayed where it was, which I think the last time it assumed was CAD 0.80. Since I think FX actually come towards you, and you also had the pension deal (29:39) of CAD 25 million, but offset by some of the service issues you had in the quarter. Just wanted to see if you still think that you can go to high end of your guidance range? Thanks.
Ghislain Houle - Canadian National Railway Co.: Hi, Ravi. This is Ghislain. Yeah. We're still in the ballpark of the upper range of our guidance. Again assuming that the FX remains at CAD 0.80, absolutely.
Ravi Shanker - Morgan Stanley & Co. LLC: Very good. Thank you.
Ghislain Houle - Canadian National Railway Co.: Thank you, Ravi.
Luc Jobin - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Fadi Chamoun from BMO Capital Markets. Please go ahead.
Fadi Chamoun - BMO Capital Markets (Canada): Thank you. Good evening. So let's see, first, so, given the strong demand environment that you just highlighted on this call, and also at the June Analyst day, I'm wondering if there's an opportunity here for you to move the pricing up a little bit. As we go into 2018, how is that pricing environment looking like given all this? And in relation to that also like the incrementals obviously this quarter were suppressed a little bit by all these bottleneck issues that you've talked about. When do you envision some of these investment to capacity start to sort of produce a typical incremental margin we have seen in the past from CN? Is it like a Q2 next year story or Q1? How quickly can you get back to that kind of run rate?
Jean-Jacques Ruest - Canadian National Railway Co.: It's JJ. Maybe, Fadi, I can take the first part on pricing and Ghislain can take the incremental margin. On the pricing side, I'd like us, and like you to think in term of yield and pruning and pricing. So as capacity gets tight, a little tighter in some segments, as we've mentioned for example, we will probably not press as hard on crude because crude does not provide the same kind of yield. So it may reflect in part the same-store price. It may reflect better over time as to what kind of business we do more of, business we do less of, therefore the yield of the book of business as opposed to only necessarily just the same-store price on each contract. Ghislain?
Ghislain Houle - Canadian National Railway Co.: Yeah. And, Fadi, on the incremental margins, I mean if you look at year-to-date right now, we're very much still in the ballpark of 50% which is what we indicated in the first half of the year. So we're running in that ballpark year-to-date at the end of September. So we're delivering.
Luc Jobin - Canadian National Railway Co.: Just to amplify a little bit on that, Fadi, you were asking, where do we see a little bit more, perhaps a little bit more leverage. Well, I wouldn't expect to see that really through the winter, because we're going to go into a different part of the year that we're more focused on providing good service and dealing with the challenges on the weather side. But I would say by the second half of next year, you'll definitely see the benefits of that, and it'll come in two ways. You'll see efficiency gains and operating numbers that Mike described that will be definitely moving up quite a bit. And I think again, the service will – the service will improve significantly. Although again we've already seen in some places. You look at our Brampton Intermodal facility in Toronto. I mean JJ pointed out, we've got the leverage right now, and we're going to see more of it through the first and second quarter of next year. So it's going to be coming mostly in the second half, but there are good signals already showing through and we feel pretty good about it. Thanks very much, Fadi.
Fadi Chamoun - BMO Capital Markets (Canada): Thank you.
Operator: Thank you. The next question is from Jason Seidl from Cowen. Please go ahead.
Jason Seidl - Cowen & Co. LLC: Thank you, operator. Hey, guys, you kind of mentioned on your CapEx side that you're going to be about that 20% of CapEx and it feels like you're maybe investing a little bit more now that you're seeing the growth. Is this the level that we should expect you staying at as you look into 2018 and maybe 2019? Or do you think that might start ramping down a little bit?
Ghislain Houle - Canadian National Railway Co.: Yes. Hey, Jason. It's Ghislain. Listen, I think like I said for this year I think we're still in the 20% of revenue, which is very much related to the guidance that we gave at the Investor Day in June. For next year, at the end of the day, I mean we'll look at it. I think we've always said that our first use of cash is for the business. So again, now if we have better visibility and we're going through our exercise as we speak with JJ and Mike for next year, where we're looking at 2018 and beyond, and if there's some good use for capital and we can ramp up a little higher and it makes sense and it provides a good return for the business then we'll certainly take it under advisement and look at it and possibly go there. So stay tuned. I mean we're doing the exercise as we speak, and we'll provide that guidance as we usually do in January. But obviously, if there's some good use for cash and for CapEx for the business providing good return then we'll certainly look at it very precisely.
Luc Jobin - Canadian National Railway Co.: So, Jason, it's Luc. Just to add to that. It isn't a straitjacket. I mean, it's an overall guidance over time and again there is also the ins and outs of investing behind PTC that play into that number. So we want to do the right thing as it relates to continuing to grow the business and generating return on capital. That's really what drives us. So stay tuned. We'll be providing more color early in the new year, but we like the prospects, we like the visibility of the business that's coming our way, and that's a good position to be in. Thanks.
Jason Seidl - Cowen & Co. LLC: Thanks, guys. Appreciate it.
Ghislain Houle - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Cherilyn Radbourne from TD. Please go ahead.
Cherilyn Radbourne - TD Securities, Inc.: Thanks very much. Good afternoon. I wanted to talk a bit more about Prince Rupert. Clearly you're ahead of schedule in selling out the new capacity but that growth was a little bit tough to handle all at once. Can you just talk a little bit about at what point in the quarter you started to encounter issues up there? And I think you said in your remarks that COSCO is back calling at Prince Rupert. Can you just clarify when port calls return to normal?
Jean-Jacques Ruest - Canadian National Railway Co.: So thank you, Cherilyn. It's JJ. So the Prince Rupert original capacity for the expansion was 850,000 TEU. Sometime in the month of July, basically, the terminal in our south we were running close to 1.1 million TEU, which was too excessive because the construction was still ongoing. So when you guys all came in for the opening day, you saw the terminal was very busy. In fact, it was full of containers. And then we ended up the third quarter at basically just slightly above 1 million TEU, which was probably a more reasonable number for terminal under construction. So July, August is when we sort of hit the – there was too much of a good thing too early. The construction, as I said, will be finished at the end of this quarter. COSCO, there were discussions between the different parties here with COSCO as to doing some ship diversion to help the congestion that we had last summer. And in the end, COSCO did divert one ship, which went to Vancouver and offloaded, I think were 700 units. Some of them went to my competitor, some of them went to CN in Memphis, and after the one discharge, it was decided to stop the diversion and just restart the regular service back at Rupert. So that's kind of where we're at. And then the other 2M Alliance, they had reversed their rotation, but as you know, the 2M players, the two company, actually do business with CN in both ports. So it's really – for us it's the same thing that we pick it up at a different location, which is just good to basically help Rupert to get back on its feet. But we're basically there at this point, and the good thing in all this is that yes, we're ahead of the pre marketing of the new capacity.
Cherilyn Radbourne - TD Securities, Inc.: Great. Thank you. That's my one.
Luc Jobin - Canadian National Railway Co.: Thanks Cherilyn.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Brandon Oglenski from Barclays. Please go ahead.
Unknown Speaker: Good evening. This is actually Vin Cagel (38:21) on for Brandon. Thanks for taking my question. In the context of the surge in growth we've seen this year and some of the investments you're making to address the near-term service challenges on the operating side, could future growth be at least optically dilutive to margins? And would you view that as an investment in growth for the future? And kind of related to that, how flexible are you willing to be on maintaining a sub 55% OR, obviously excluding accounting changes? Thank you.
Luc Jobin - Canadian National Railway Co.: Yeah. What I would describe here is, again, we take the long view, and we've said time and time again, we are set on growing and growing profitably and creating long-term value for our shareholders. And we're set on doing that in a way that preserves the service and allows us as much as possible to have a continuous investment by way of capital, and also flexibility through the operating side, i.e., the operating ratio and/or if you want to call it the incremental margin. So we're not fixated on the OR. We are very mindful of where it is and we continue to enjoy the fruits of a great level of efficiency in this company, but sometimes the business is a bit lumpy, and if we have to take on business which is a little bit higher in terms of cost to serve in the short term, that provides us further opportunities for continued investment and efficiency gains. So I would say that, again, we've guided long term to remain within the mid-50s in terms of operating ratio, excluding any of the accounting changes that we're going to see in the next year or so. And in the short term, we just got to do what's right. If there is a little bit more cost to be absorbed in terms of either bringing on the business or dealing with existing business which is growing with existing customers, we're quite confident that we can manage that, and again. So if you look quarter to quarter, it may bounce around a little bit, but longer-term our sights are still on the same targets, and that is maintaining a strong cost position but not at the expense of service, and enjoying and delivering a great return on invested capital. So no change in terms of strategy, but the contour of growth, as I said, is not always linear, so it goes into step functions. And we've just seen over the last couple of quarters, three quarters, three, four quarters, we've gotten a bit of a lump here and we're dealing – we're quite excited, that's a really great position to be in. We're excited and we're adjusting and adapting very quickly. And for us the prospects going forward remain very positive. So that's kind of where we are on that. Thank you for your question.
Unknown Speaker: Appreciate it.
Operator: Thank you. The next question is from Steve Hansen from Raymond James. Please go ahead.
Steve Hansen - Raymond James Ltd.: Yes. Good afternoon, guys. Just wanted to circle back on the crude opportunity and the decision to take a brief pause there. Could you perhaps just provide a little bit more color around the opportunity set that you might see out there, how visible it is, the size or the magnitude, or any sort of just parameters you can put around that, and again give some additional color on your related decision to take a pause? Thanks.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you, Steve. It's J.J. As I said, first and foremost, we have very real visibility on our business, which is right there, right there right now for us to serve Canadian grain, Canadian coal, Canadian potash. And the crude is something that's still unfolding. We get the sense that customers still have capacity in the pipeline. Otherwise they'd be maybe behaving differently. They would be more willing to make commitments, some more solid commitment or be more specific about what they can do. So this may be a 2018 story or looks to be definitely a 2019 story. There is new production from oil sand upgraders that's coming onstream this year and next year. You always have to speculate whether the data from the industry when they talk about how much capacity is really available in the pipeline, whether these are – how accurate are they, how much flexibility there is. But you get the sense at some point they will hit the wall, whether it's 2018, 2019, especially if the pipeline industry can't find a way to complete some of these projects and/or increase the pressure in some of the existing pipelines. But as we said in June, to us, it's a hold card (43:13) right? It's something that will come and then will go, so it's tough to build a long term business on that, so it's a hold card (43:17) If there is good business and it has a decent price and we have the capacity, we'll do that. If the price is not attractive and there's something better to do, then we'll do something else.
Steve Hansen - Raymond James Ltd.: Very helpful. Thanks.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Tom Wadewitz from UBS. Please go ahead.
Luc Jobin - Canadian National Railway Co.: Hi, Tom.
Thomas Wadewitz - UBS Securities LLC: Yes. Good afternoon. I think, JJ, you were asked a bit about price, and – I guess I don't know if I didn't understand the response or maybe just wasn't clear from the way you were talking, but it seems like you're hitting some capacity constraints and the really high level of growth you've seen this year would set you up for a stronger price next year. I'm just wondering if that's something, I mean I guess you can kind of manage that, you can choose to focus more on that or not. Is that something we should expect just from a kind of tactical perspective, you would focus on getting more price next year and maybe prioritize that more? Or is that maybe out of step with the way you kind of look at the longer-term approach on volume versus price?
Jean-Jacques Ruest - Canadian National Railway Co.: So Tom, yes, it's JJ. Yes. To answer the question more directly, yes, we are looking for inching up kind of bit-by-bit our same-store price for next year. Don't expect huge steps and bounds, because to the point you just made, we do want to build up a book-of-business that will last, that will stay with us and be part of our marathon. So we want to be onboarding a large chunk of business, lines starting up, new contracts with large customers. And in that mindset we want to do that in a way that is conducive to keep the story going for the next three to five years, at 10% EPS growth. So we think there is room for slight improvement in our same-store price versus the current run rate, but we are also mindful of 2019 and 2020 and beyond.
Thomas Wadewitz - UBS Securities LLC: Okay. Great. Thank you.
Luc Jobin - Canadian National Railway Co.: Thanks, Tom.
Operator: Thank you. The next question is from Allison Landry from Credit Suisse. Please go ahead.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Thanks. Good afternoon. I wanted to just ask about the share loss that you saw with your competitor due to some of the congestion issues. And specifically, if you expect to fully recapture these volumes? And over what timeframe? And finally, when should we expect the reported service metrics to begin to inflect? Thank you.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you, Allison, it's JJ. Which one are you referring to? You're referring to when you say share loss? Industry or?
Allison M. Landry - Credit Suisse Securities (USA) LLC: Yes. Intermodal, yes. So some of the port, the container losses at the ports.
Jean-Jacques Ruest - Canadian National Railway Co.: Okay. So in the case of the port as I said there was a lot of noise about diversion from Rupert. When the 2M Alliance diverted product, changed their rotation between Rupert and Vancouver, they're actually doing 100% of their business with CN at both port, there's no loss. It just would pick it up at a different – might have picked up in Vancouver instead of picking up in Rupert. In the case of COSCO, there was one vessel which in the end was diverted. It diverted seven units in Vancouver, less than that. It's CAD 1 million basically. We can get it down to the specifics. There was CAD 1 million in our book-of-business for the third quarter was CAD 3.2 billion. So I think you put that in perspective as a one-timer. It is what it is. Just to – I think if you look at scale, right? So in the third quarter, CN on intermodal had a 20% volume growth, and my competitor had a 1% decline. So we had a 21 point in favor of CN. In the last three weeks you look at the aero (47:15) stats, we're up 24%, they are up 3%. We still have the 21 point lead. So I think the spread is huge, and it's hard to talk about share loss when in fact you have such a large spread, and the spread stay consistent.
Luc Jobin - Canadian National Railway Co.: Yes. Allison, I mean 700 containers is a very small amount in the scheme of things. And frankly, we work very closely with DP World and our customers to ensure that we do the right thing in terms of getting their business to marketing. So, I think that, we felt it was the right thing to do. It gave a chance for the Rupert Terminal to get back – gain a little bit more flexibility. So I would be very cautious in terms of share loss because in many respects, our ability working with our supply chain partners to address some of the challenges is quite quick. And again, we put all of ourselves working together and come up with creative ways and solutions. And Mike certainly referred to some of the work that we did as an example on the South Shore in Vancouver. And there are other opportunities that we find to try to bring the gateway service back to where we would like to see it. But this is a lot of growth for our partners and ourselves to deal with. So, Mike, you want to add a little bit of color?
Michael A. Cory - Canadian National Railway Co.: Yes. I'll answer the second part of your question about when we expect the operating metrics to get back. Let's put a little bit more in context. Again, it's pretty tough to compare to last year with a significant volume difference. Even 2015 it's difficult. So if you looked at 2014 where we're only 2% higher, all of our operating metrics are better with the exception of train speed, and that's primarily a mixed issue in Eastern Canada which isn't a big segment for us but it was enough to bring our train speed down in 2017 versus 2014. If you then really, our priority is winter, that's the first piece. And with this layering on of this volume, our focus right now is immediate. Our focus is on getting the resources in place, the people, the locomotive, doing whatever we can – pinpointed, mind you, in those segments that are very heavy. So the West Coast right through the Chicago where this volume resides to get capital into the ground before winter hits. And starting in the first ability right after winter, that's when we'll go further into our capital plan to bring the metrics up. But the story on the metrics, this is about service, this is about growth at the right profit margin, we'll get the metrics to where they need to be, but it won't be overnight, and it will be more towards the second half of last year as Luc spoke to.
Luc Jobin - Canadian National Railway Co.: And then, Allison, just to close it up, we live with a constant view of continuing to raise the service levels, and I think again we look at this as an opportunity. We've actually as Mike pointed out, we've been able to bring it on and you've got to compare workload-to-workload and we've done that quite successfully, but are we satisfied with that? Absolutely not. Last year was a much lighter volume environment and we certainly were – our service metrics were stellar. That creates a short-term high watermark that all of us are pointing to and that's kind of where we're going to be heading for. And where and how we get there, you're going to have to trust us on that and we're very much set on those targets. But we want to do this in a way, again, that is thoughtful and that will be gradual over the course of the next year and perhaps again depending on what the contour of other growth will be. Thanks very much for your question, Allison.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Okay. Thanks.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Chris Wetherbee from Citigroup. Please go ahead.
Chris Wetherbee - Citigroup Global Markets, Inc.: Hey, thanks. Good afternoon, guys. I wanted to come back to pricing a little bit and sort of maybe understand some of the opportunities on pricing relative to sort of the cost inflation of the business. As you guys are sort of improving the network, and I think metrics take some time to get better. Just kind of curious if you see maybe a timing mismatch between sort of the gradual increase that you're talking about on getting pricing in 2018 and sort of maybe how we should be thinking about how costs kind of lay out over the course of the next several quarters. Are those cost going to be sort of in advance of some of those pricing gains or going to be a little bit more better matched? Just trying to get a little sense of that. If you could give us some color, it would be great.
Jean-Jacques Ruest - Canadian National Railway Co.: I think maybe I'll start with the pricing and let one of my colleagues talk about the cost. But on the pricing it should be market-related obviously which has to do with the outside environment, and it will be progressive. And I would prefer to use the word yield. Profit margin yield are just price because there's many ways and there's actually many more lever you could do by working on your yield to adjust your price. So which business you select, which business you deliver more of, which business you do a little less of, do I want to move my frac sand in long heavy unit trains or do I want to move it in block of 10 cars? All these things add up to profit margin and to yield management including same-store price obviously. And at CN, we always talk about same-store price. Same-store price is on your last quarter, on the full book of business including your legacy contract, same-store price is not, we'll call, what your (53:02) what you renewed your last contract which only talks to maybe 5%, 10% of your book business. Same-store price talks to your full book of business. So therefore that volume, that metric doesn't move as much as fast because that's a big aggregate of all your business as opposed to talking about the price you get on your renewal. And when it talks about the price you get on your renewal, we get as good as anybody else in the industry.
Michael A. Cory - Canadian National Railway Co.: Yes. Chris, and on cost I think again we're managing costs. I mean, we're going to continue to manage costs if you look at what we've done in the quarter, 54.7% OR is not anything to be ashamed of. I think, which is best in industry, by the way, and I think that as we put capacity investments that Mike alluded to a little bit, then again, productivity will continue to kick in. There's a bunch of initiatives from the technology side that we've highlighted at the Investor Day as well that we're working hard on. And I think you can expect that costs will be well-managed in a very disciplined manner. And again, we're very confident that we'll continue on an ongoing basis to deliver in the mid-50% OR range and we're committed to that.
Luc Jobin - Canadian National Railway Co.: Thanks, Chris.
Chris Wetherbee - Citigroup Global Markets, Inc.: Great. Thank you.
Operator: Thank you. The next question is from Bascome Majors from Susquehanna. Please go ahead.
Bascome Majors - Susquehanna Financial Group LLLP: Yes, good evening. So you've been pretty candid about adding resources and capital to a few places in your network that have become bottlenecks with all the volume growth that you've seen over the last few quarters here. But if we take a step back and we look beyond CN, are you starting to see pinch points form in other parts of the North American rail network? As a follow-up to that, where are those pinch points today, if you're seeing them? And how are they affecting your interline business with your rail partners?
Luc Jobin - Canadian National Railway Co.: Well, if you look at some of the West Coast ports have also seen a little bit of a lift in terms of volume but nothing of the magnitude that we have seen. So I think it's one or two things. It's less apparent as the growth has been more subdued for most of the other railways. I think the industry on the whole is looking at carload growth somewhere in the, what, 2%, 3%, let's call it 3% or so. And that is actually a gradual rate which typically allows people to adjust a little bit more quickly to it. And they still are operating at levels well below their peak. So in the short term, I don't see a whole lot of issues out there. I think – and you can see it because people are still managing towards tightening up whether it's labor or otherwise. And that's good. They're playing to their game. We'll see if and when they're prepared to respond when some of the business may come back and it may be short term, maybe longer term, depends on the commodities and it depends on, as I said, the type of growth that you're dealing with. So at this point, I don't think we see any major issues generally speaking in terms of other Class 1s, but again, this typically shows up when the growth is concentrated in certain lanes, in certain particular corridors, and as a result of circumstances in commodities where the growth is large and is not easily anticipated. And we've seen it. I mean back in 2014, 2015, when the crude and the energy renaissance was going full-blown, we saw a lot of that. And some of the other Class 1s did find themselves in a bit of a bind, and subsequently some of them have, in fact, put out some significant capital spending to address it. So we don't see anything major out there.
Bascome Majors - Susquehanna Financial Group LLLP: So just to wrap that up at this point, you don't see any major competition for some of the people and equipment resources you hope to add to your network over the next two or three quarters?
Luc Jobin - Canadian National Railway Co.: Nope.
Bascome Majors - Susquehanna Financial Group LLLP: All right. Thank you.
Luc Jobin - Canadian National Railway Co.: Thanks, Bascome.
Operator: Thank you. The next question is from Scott Group from Wolfe Research. Please go ahead.
Scott H. Group - Wolfe Research LLC: Hey. Thanks. Afternoon, guys.
Luc Jobin - Canadian National Railway Co.: Good afternoon.
Scott H. Group - Wolfe Research LLC: JJ, I just wanted to follow up on the market share question. So firstly, on grain, that is an area where if you look at the last several weeks, you have seen this inflection with CP doing better than you guys. And I know at the Analyst Day you guys had talked about we've won grain share. We think we'll continue to win grain share. So maybe just some thoughts on what's happening right now and how long you think that continues. And then on the intermodal side, clearly you guys are still -- have won a lot of share this year. I'm wondering if maybe you can share some insight from some of your conversations with customers. Do you think the service issues this year put a pause on the intermodal share gains not this year but next year? Do you think it makes for an easier sales process or conversion process for CP or makes your job any tougher?
Jean-Jacques Ruest - Canadian National Railway Co.: Okay. Thank you, Scott. So starting with the Canadian grain, I mean our game plan hasn't changed. We do are working hard and have as a stated goal, and that's the game plan that we execute in the field to earn market share in the Canadian grain space. We'd like to gain a couple of points. We said even five (59:06) points over three years. It's a marathon, it's not just the last couple of weeks. The last couple of weeks we've moved grain but maybe not quite as much as last year at the same time. But our objective has not changed. And all those customers that we talked at the Investor day actually have decided to build elevators on CN are proceeding forward and are counting on us, and we are counting on them. On intermodal. All business in intermodal just like in automotive, well, all businesses are service sensitive, but intermodal maybe more so than some other segment. So we need to produce, and we know that, and we need to produce not alone, but with our partners, the terminal operator. So the construction at the port are quite key, we have a lot of construction behind us. It's pretty much all done, that's a positive thing. We are expanding Brampton. As I mentioned, Mike and his team are expanding Brampton 15% versus what we had last spring. That 15% is not all in place, but it's coming. And there will be some more expansion next year, and I think Mike talked about another satellite terminal like Malton. So we've taken, we've earned, we had to work hard to get the last year some major contract. We may or may not grow in the year to come through shift of business from one account, to one railroad to another. It may be more about how we help the current account to grow, and how they perform. How we help the current account to penetrate the Midwest further, right? We are the railroad of the Midwest, of the Mid-America and up to a point to Ohio. And when you come to our two port, you could reach a lot more space than what you might be able to do with our smaller competitors. And I think we definitely intend to leverage that. And we would love to be able to sell out Rupert next year if at all possible. So they brought in 500,000 TEU capacity. The last quarter we ran at roughly a little more than 1 million TEU. There is another 350,000 TEU (61:05) to be sold. Typically contract for the shipping line run from May to May, and we would love to see some more of the capacity be consumed sometime in the second quarter next year. So competition is great, it keeps us fit. And intermodal space is one of those spaces which is exciting. So more to come. We'll see.
Michael A. Cory - Canadian National Railway Co.: Scott, it's Mike here. Just a little color on the grain. It is early in the year, and we've had a couple of big derailments out in our Western prairies, both of them more on the transient side. I mean they were wind related, a couple of empty intermodal trains that put us out for a few days, which slowed down our movement to the West Coast. And as well, we've had a few issues with Prince Rupert with weather. Again transient, this is early in the year, we're ready to move the grain just like we did last year, and that's how we will deliver it.
Scott H. Group - Wolfe Research LLC: Just so I understand you don't think that the grain is just a natural reversal of last year that will continue this crop year.
Jean-Jacques Ruest - Canadian National Railway Co.: No.
Michael A. Cory - Canadian National Railway Co.: No. And into the (1:02:11) future, Scott, as JJ pointed out, the bulk of the new grain elevators being built are on our line.
Jean-Jacques Ruest - Canadian National Railway Co.: Yes. It is a good crop, fairly decent crop this year. Last year was 72.5 million tons. We used our customers' stat, not the government stat. They tell us this year looks like, feels like a 70 million ton crop, and we will go hard after it. The race is on.
Scott H. Group - Wolfe Research LLC: Thank you, guys.
Luc Jobin - Canadian National Railway Co.: Thank you, Scott.
Operator: Thank you. The next question is from Brian Ossenbeck from JPMorgan. Please go ahead.
Brian P. Ossenbeck - JPMorgan Securities LLC: All right. Thanks. Good evening. So just getting back to the yield on the book-of-business, JJ. Sales (62:51) per RTM on a constant currency basis are down about 2% year-to-date. So is this a factor of the big jump in RTMs this year across the board? There's been quite a few commodities that should normalize next year? Or should we think of this as something that might continue as you continue to build the book-of-business either through changing, like the follower maybe some greater proportion of private cars on the network?
Jean-Jacques Ruest - Canadian National Railway Co.: Sales (63:22) per RTM, one of my favorite subjects. I don't believe in sales (63:22) per RTM as a measure of anything. Other than length of haul, other than customers converting their tracks and business from carload to unit train, business that we set up moving more pulp and more lumber in CN provided railcars, that we move more crude, and more potash into private equipment. You get all these things – or our coal business. CN coal business, our carload I think is down like 2% and our revenue is like 23%, right. So a huge shift in business mix and then you have exchange and fuel surcharge. Sales (63:55) per RTM are, I don't know exactly what to do with that, but I like same-store price, I like revenue to cost ratio, I like contribution per car day. We also have now some new yield measure on contribution per locomotive hours. Sales (64:12) per RTM to me, it's more noise than measure of yield.
Luc Jobin - Canadian National Railway Co.: And Brian, it's Luc. If you look FX adjusted, it's down 1%, and we've seen the amplitude of the number come down through the course of the year. So unless – and again, there's always a lot of noise, as JJ pointed out. The mix has changed. And to be honest with you, it's a little bit difficult to measure what's going on because we have a lot of changes, whether it's on the automotive side, on the bulk, on the various commodities. So a lot of noise. I wouldn't get too worked up about it. I think a lot of people think about it in a way that they think it's an indicator of price and price alone, which it isn't. So very much a number of things going on here. So anyways, it's a long story, explanation but we look at other metrics which for us are more indicative of the quality of the business, of the profitability of the book, and those are the ones that we use more often.
Jean-Jacques Ruest - Canadian National Railway Co.: In a very stable mix environment – length of haul, equipment, unit train carloads, it may mean something. But in a business where you're growing fast and you've got more of this and less of that, it's basically a lot of noise with a lot of noise. My own view anyway. Thank you.
Operator: Thank you. The next question is from David Tyerman from Cormark Securities. Please go ahead.
David Tyerman - Cormark Securities, Inc.: Yes. It sounds like from the presentation discussion that there has been a decent amount of disruption, et cetera, this quarter. I was wondering if you could give us some idea of what you think the total impact of that is on profit, whether it's EBIT or whatever, in dollars or percentages? And then also just on first quarter, it sounds like some of this may continue into the quarter, you're trying to get the CapEx in the ground now. Is it possible that the margins may compress in the first quarter or first half of the year or through the winter at least from these factors?
Luc Jobin - Canadian National Railway Co.: Yes, David, I'm not sure what you're referring to in the first part of your question. I'll respond to the second part and maybe you can clarify after that for us just to give us a bit of a better sense of what you're looking for. But on the margin and on the operating ratio and the cost structure, going into winter in any event is always tricky, so you're going to see the numbers bounce around a fair bit as we get into the fourth quarter and then the first quarter of the year. So I wouldn't put too much reading into it. Suffice it to say we're quite happy that we've onboarded the business, we've got a lot of good initiatives going on to deal with it and improve substantially in the short term. We're also happy to be laying out capital to help us in the – what I call next little bit to resume operating metrics and service levels to a level that we strive for. And maybe Ghislain can talk a little bit more about the – if you're talking about some specific cost elements that were unusual in the quarter, maybe...
Ghislain Houle - Canadian National Railway Co.: David, if you're referring to incident costs in the quarter, in purchasing services and material we had about CAD 10 million of a year over year increase in incident cost in the quarter. That's the order of magnitude.
David Tyerman - Cormark Securities, Inc.: Yes, maybe just to clarify to Luc's wondering what I'm trying to say. So you outlined a bunch of different things in the discussion, whether it was challenges at Rupert, whether it was challenges where you didn't get as much head count returning as you expected, I think there were a number of other things also mentioned. I'm just wondering I get the impression that you weren't running at the levels that you thought you would be able to if you were running the way CN would expect to run efficiently. And I'm just wondering, how much would all this add up to when you think of all of those various things, whether it's revenue losses in Rupert or inefficiencies because you don't have the right number of workers, et cetera.
Luc Jobin - Canadian National Railway Co.: Yes. You know what? I mean, David, we haven't spent as much time trying to quantify it. The reality is, when we see the opportunities, we get engaged and we do the right thing. So we're looking to bring the business on, get the service levels up. And so for us, that's job one. We look at this situation as giving us an opportunity, and we look – we kind of look forward, and we sort of rejoice at the opportunity that it presents to us. So we haven't really put a number to it. I mean on the revenue side, I mean, JJ gave you a sense. It's really very small. I mean, if you look at the intermodal situation or the diversion, we're talking probably in the range of a million dollars of revenue. So that's not to say there are not little pockets here and there where we have been making some trade-offs, but by and large I would say on the revenue side it's very small and I think on the cost side, again, we try to balance these things. And so we're not too busy quantifying what we missed as opposed to what's the size of the opportunity we have before us. And Mike actually wants to step in and give you a flavor for where he's coming from.
Michael A. Cory - Canadian National Railway Co.: We have very high standards, David, and it might not be in line with others, so we don't really worry ourselves about that. From the operating team, we believe we have lots of runway and nothing here has stopped us from achieving very strong growth, achieving it with the control cost, but we always know we can do better because our standards are very high. So to Luc's point, everything we do up to this point is to get, is to continue to deliver higher standards. We don't quantify necessarily globally. We quantify it over individual things that we find, opportunities, and then we dig in and we exploit those opportunities. That's what we're all about.
David Tyerman - Cormark Securities, Inc.: Okay. Very good. Thank you.
Luc Jobin - Canadian National Railway Co.: Thanks, David.
Luc Jobin - Canadian National Railway Co.: All right. John, we are now at the end of our call. We certainly would like to thank everybody for joining in. I hope you get a better sense and a better understanding of the quality of our results through the quarter and again the quality of our prospects looking forward. This team is excited. This team is engaged. We've got lots going on and we feel very good about the future, and it's with that in mind that we go into the fourth quarter and we certainly look forward to next year. We will update all of you in January in terms of our fourth quarter results. And we at the same time will provide guidance in terms of our outlook for 2018. In the meantime, again, thank you very much and be safe and we'll see you on the call in January. Thank you.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Ghislain Houle - Canadian National Railway Co.: Thank you.
Michael A. Cory - Canadian National Railway Co.: Thank you.
Luc Jobin - Canadian National Railway Co.: Thank you, John.
Operator: Thank you. The conference is now ended. Please disconnect your lines at this time, and thank you for your participation.